Operator: Good day, and welcome to the Third Quarter 2025 Cheniere Energy Earnings Call and Webcast. Today's conference is being recorded. At this time, I would like to turn the conference over to Randy Bhatia, Vice President of Investor Relations and Communications. Please go ahead.
Randy Bhatia: Thank you, operator. Good morning, everyone, and welcome to Cheniere's Third Quarter 2025 Earnings Conference Call. The slide presentation and access to the webcast for today's call are available at cheniere.com. Joining me this morning are Jack Fusco, Cheniere's President and CEO; Anatol Feygin, Executive Vice President and Chief Commercial Officer; and Zach Davis, Executive Vice President and CFO. Before we begin, I would like to remind all listeners that our remarks, including answers to your questions, may contain forward-looking statements, and actual results could differ materially from what is described in these statements. Slide 2 of our presentation contains a discussion of those forward-looking statements and associated risks. In addition, we may include references to certain non-GAAP financial measures, such as consolidated adjusted EBITDA and distributable cash flow. A reconciliation of these measures to the most comparable GAAP financial measure can be found in the appendix to the slide presentation. As part of our discussion of Cheniere's results, today's call may also include selected financial information and results for Cheniere Energy Partners LP, or CQP. We do not intend to cover CQP's results separately from those of Cheniere Energy, Inc. The call agenda is shown on Slide 3. Jack will begin with operating and financial highlights, Anatol will then provide an update on the LNG market, and Zach will review our financial results, 2025 guidance and initial outlook for 2026. After prepared remarks, we will open the call for Q&A. I will now turn the call over to Jack Fusco, Cheniere's President and CEO.
Jack Fusco: Thank you, Randy. Good morning, everyone. Thanks for joining us today as we review our results from the third quarter of 2025. I think we can all agree that this year has been one of the more challenging with geopolitical unrest, rising cost and unsufficient supply chains, tariffs and now a government shutdown. My focus has been to lead Cheniere by putting our heads down, driving our growth strategy forward, continuing to deliver on operational excellence, executing on construction management and implementing our capital allocation program. The third quarter of 2025 was once again marked by many key successes across our entire business. We made significant progress on the expansion of Corpus Christi Stage 3. We progressed our development plans for engineering and commercialization of our expansion at Sabine Pass, all while continuing to achieve operational milestones, solidifying our reputation as a reliable supplier and partner to our global customer portfolio. The third quarter also gave us an opportunity to invest meaningfully back into ourselves with our share repurchase program for the benefit of all Cheniere stakeholders. In the LNG market, events and data points on both the supply side and demand side of the equation continue to fuel noise and volatility. But Cheniere's disciplined approach in our highly contracted business profile enable us to reliably deliver visible, predictable results in line with our previously issued forecast. We're very pleased to announce this morning that substantial completion of the third Train of Corpus Christi Stage 3 has been achieved, an acceleration of our forecasted time line from only a few months ago. I have more to say on Stage 3 in a few minutes, including on our recently improved time line on Train 4. Please turn now to Slide 5, where I'll highlight our key results and accomplishments for the third quarter of 2025. In the third quarter, we generated consolidated adjusted EBITDA of approximately $1.6 billion distributable cash flow of approximately $1.6 billion and net income of approximately $1 billion. Today, we are reconfirming our full year 2025 guidance range of $6.6 billion to $7 billion in consolidated adjusted EBITDA, and we are raising our distributable cash flow guidance range from $4.4 billion to $4.8 billion to $4.8 billion to $5.2 billion. Zack will provide more detail later on this call on our financial results, but the guidance increase related to our DCF outlook is being driven by a discrete IRS rule change related to the corporate alternative minimum tax. Our guidance continues to be supported by the high degree of visibility and certainty, our highly contracted platform affords and we remain on track to deliver financial results within these ranges. During the third quarter, we produced and export 163 cargoes of LNG from our facilities, which included the 3,000 LNG cargo produced at Sabine Pass. I'd like to recognize and congratulate our production and shipping teams at Sabine Pass on this milestone achievement, an incredible accomplishment less than 10 years since the first cargo was produced and exported from our facility. Across both facilities, we achieved production levels this year that are within our financial forecast, while successfully navigating some operational challenges, primarily driven by external factors such as variability and natural gas quality. Structural shifts in the basin mix of domestic gas production attributed to new gas transportation infrastructure have made slight but noticeable changes in the composition of some feed gas we receive at our terminals. This requires our operating steps to make real-time adjustments to our liquefaction processes like solvent injections or defrost to clean heat exchangers or adjusting our operating modes and maintenance activities to adapt to those changes. I'm extremely proud of the teams at both facilities for working safely and collaboratively to address these variables, develop long-term solutions to address feed gas composition in order to maximize sustainable reliable production and enable us to deliver LNG volumes and financial results within our guided ranges. Looking ahead, the preliminary production forecast for 2026 has recently been completed, and aided by the startup of the remaining trains at Corpus Christi Stage 3. We expect 2026 to be another record year for LNG production. Our production forecast for 2026 accounts for the impact of strategically planned maintenance including certain downtimes designed to deploy engineering solutions at both facilities to bolster long-term production reliability and build additional resilience to those external forces, which can create production variability. With that said, with 3 mid-scale trains now commercially operable and together with the remaining 4 Stage 3 trains and no prolonged major maintenance planned, we're looking forward to 2026 being our first year of producing over 50 million tons. During the third quarter, we continue to make excellent progress on our comprehensive capital allocation plan, deploying approximately $1.8 billion across the pillars of our program. We funded approximately $600 million in growth CapEx, primarily across Corpus Christi Stage 3 and mid-scale trains 8 and 9. We paid approximately $110 million in dividends, and we repaid approximately $50 million in long-term debt. The balance of the capital deployed was under our share repurchase plan which was able to take further advantage of the value present in the shares during the quarter and bought back approximately 4.4 million shares for just over $1 billion, the second highest quarterly amount we have deployed repurchasing shares to date. Please turn to Slide 6, where I'll update you on the progress of Corpus Christi Stage 3. I'm very proud of the progress we have made and continue to make executing on all phases of this project as total project completion on Stage 3 reached over 90% last month. Execution remains on accelerated schedule. And as I mentioned earlier, we reached substantial completion on Train 3 ahead of our previous forecast. Together with Bechtel, we are achieving construction commissioning milestones with the benefit of lessons learned on the first train of the project. In fact, we reached a single-day LNG production record last week of approximately 7.5 TBtu of LNG with Train 3 now operating. Similar to the commissioning time line improvement we saw on Train 2, Train 3 went from first LNG to substantial completion in just 38 days. This is in contrast to the 77 days on the first train and evidence of the acceleration resulting from experience and knowledge transfer across trains and of course, our long-term partnership with Bechtel. Train 4 is benefiting as well. And those that follow us closely, have surely seen the regulatory approvals we've been receiving relating to the start-up of that train. On our previous call, my expectation was that we would have Train 4 in commissioning by the end of the year. However, we're bringing forward our time line by over a month with Train 4 now expected to produce first LNG very soon and is on track for substantial completion by the end of this year. We continue to forecast substantial completion of trains 5 through 7 next year. Current key activities across those trains include the last few percentage points of concrete and structural steel and the installation of above-ground piping. As for the cadence of substantial completion for Trains 5, 6 and 7 next year, we expect those to occur in the spring, summer and fall, respectively, after Train 4 becomes commercially operable this winter. On the mid-scale trains 8, 9, a debottlenecking project, full notice to proceed was issued to Bechtel in June, and it has hit the ground running quite literally as the first ground pile was installed during the quarter. The bulk of the activity thus far has been on engineering and procurement as well as mobilization and site preparation. We're extremely excited about this project economics and time line benefiting from all the work that's been done on Stage 3, and I look forward to updating you all on the safe execution and achievement of the milestones as we move into construction. In the highly competitive market that we are in, continued demonstration of construction execution and timely delivery on customer commitments is a meaningful differentiator and significant competitive advantage especially as we seek to further expand our footprint with more accretive brownfield growth at both sites that never compromises on our contracted return targets for investments. I'm extremely proud of these elements that have come to exemplify the Cheniere standard, which we are all committed to upholding across all aspects of our business for the benefit of all Cheniere's shareholders. With that, I'll now hand it over to Anatol to discuss the LNG market. Thank you all again for your continued support of Cheniere.
Anatol Feygin: Thanks, Jack, and good morning, everyone. Please turn to Slide 8. Global LNG demand in the third quarter of '25 was once again underpinned by European imports amid continued softness in Asia, resulting in price differentials that incentivize the flow of U.S. cargoes to Europe throughout the quarter. Unlike earlier in the year, when geopolitical events drove volatility in global gas prices, both the JKM and TTF benchmarks remained largely range-bound during the third quarter as compared to both the second quarter of '25 and the third quarter of '24. Despite an increase in LNG supply as new liquefaction capacity comes online and in light of the relative moderation of Middle East intentions that caused gas prices to increase late in the second quarter, global benchmarks remained relatively flat in the third. Monthly price settlements during the quarter averaged $12.50 an MM for JKM and $11.27 an MM for TTF, both relatively unchanged year-on-year. This is a clear indication that the market remains somewhat tight throughout the first half of '25 and into the third quarter amid lower Russian gas deliveries year-on-year and much higher European underground storage injection requirements. This dynamic persisted into the third quarter despite an increase in global LNG supply and more moderate Asian LNG demand which were unable to offset structural decreases in Russian pipe gas and meaningfully higher European injections as compared to '24. Ultimately, these dynamics provide a floor for global gas prices in the third quarter maintaining price levels throughout the quarter, which contributed to muted price-sensitive Asian demand aside from a temporary uptick in August, driven by early restocking. In the near to medium term, we broadly expect spot LNG prices to moderate as global balances begin to loosen in the upcoming period as additional liquefaction capacity comes online. As we've discussed previously, we expect the market tightness of the past few years to moderate with global prices becoming less sensitive to episodic price disruptions and volatility that stems from a delicately balanced market with minimal spare LNG capacity. We expect a significant portion of expected increases in liquefaction capacity to come from the U.S. highlighting the importance of U.S. LNG in maintaining global gas balances, and we expect this incremental supply will translate to a more stable pricing environment and start to catalyze demand from price-sensitive markets. Let's turn to the next page to address the regional dynamics in some detail. Europe's LNG imports continued to increase year-on-year in the third quarter, maintaining its call on U.S. cargoes away from Asia, despite a period of stronger competition in August driven by early restocking in that market. With regards to pipe gas volumes, residual Russian pipe volumes flowing into Europe were 3.4 bcm or a 43% decrease year-on-year during the quarter as other sources of pipe volumes from Norway, North Africa and Azerbaijan were marginally higher in aggregate. Meanwhile, the continent entered the third quarter with a 20 bcm deficit in gas storage versus last year, driving stronger storage injections. As of the third quarter, storage injections have reduced that deficit to 13 bcm or the equivalent of about 130 LNG cargoes, leaving European balances moderately tighter than we have seen in recent years especially in light of a cooler than usual autumn, weaker hydropower output and a potentially cooler winter forecast. Conversely, LNG imports into Asia remained subdued, declining 4% year-on-year during the third quarter and 6% 2025 year-to-date. Softer gas demand across key markets in Asia, including China and India as well as other regions resulted in aggregate LNG declines in the first half of '25, reversing the growth seen in 2024. This moderation in gas demand continued to filter into the LNG market in the third quarter despite the beginning of a demand rebound in China, which can be seen in the lower middle chart. Overall gas demand in China increased by 4.6 bcm from January through August, with much of that increased demand realized in recent months. While that pace of gas demand growth in China remains more measured overall, industrial demand has improved and gas-fired power generation has increased through August, gaining support from an 8 gigawatt increase in gas generation capacity in the first half of the year. Against that backdrop, Chinese domestic gas production increased nearly 10 bcm and Russian piped imports increased 6.3 bcm in the corresponding period from January to August. This dynamic of increased domestic production and increased pipe gas volumes, reduced the call on LNG imports in China, which declined 11% year-on-year or 2 million tons in the third quarter and 19% year-on-year or 11 million tonnes year-to-date. As compared to '24 when persistent heat waves in South and Southeast Asia drove a surge in LNG imports, gas demand in the region has moderated year-to-date. Milder weather this summer, along with stronger hydroelectric power generation and lower electricity demand overall drove gas power generation demand to decline by 19% in India in the first 8 months of the year. India led the South and Southeast Asian regions declines in LNG imports with a demand decline of 2 million tonnes year-to-date and 0.7 million tonnes of this decline occurring in the third quarter. As the European call on LNG to replenish gas inventories ahead of winter remains strong and prices remain at current levels, we expect LNG demand growth in Asia to remain moderate in the near term. However, as discussed, we expect these dynamics to reverse in the medium term as new supply enters the market over the coming quarters with significant implications for market balances moving forward. Within this context, we expect continued long-term LNG and natural gas adoption throughout Asia as demonstrated by forecast infrastructure growth in the region. Considering the region as a whole, gas-fired power generation capacity is expected to reach approximately 830 gigawatts by 2040. That's an increase of over 70% from 2024 with regas capacity expected to reach over 1,000 million tonnes by 2040, a more than 50% increase from 2024. Let's turn to the next page to further address our outlook on LNG market balances. With a significant amount of liquefaction capacity forecast to come online over the next few years across the globe, the LNG market is entering a period of significant supply growth. This long expected supply cycle is beginning to tangibly come to fruition as our CCL Stage 3 project has started to come online alongside other North American LNG projects, both along the Gulf Coast and in Canada. And new capacity from Qatar is expected to enter the market later in the decade. We expect the global LNG market will add an average of 35 million tonnes of liquefaction capacity annually from 2025 through 2030. This significant supply growth represents an annual CAGR of approximately 7% from 2025 through 2030. Despite incremental supply of approximately 30 million to 40 million tonnes per annum expected in '26, we continue to believe that latent price-sensitive LNG demand, particularly in Asia, will stand ready to absorb this additional supply efficiently. We expect to return to stronger growth in Asian LNG demand as the availability and affordability of LNG increases, catalyzing price-sensitive demand. The multiyear period of elevated prices we have experienced represents a clear signal that the market requires additional LNG supply, and we ultimately view a moderation in global LNG prices as favorable, necessary perhaps for meaningful long-term adoption of natural gas as a primary energy source and for investment in gas and LNG infrastructure across both developed and developing regions. The forward curve currently indicates '26 Asian spot LNG prices in the $11 range, which is supported by generally strong consensus from key market researchers that anchors around $10 to $11 price levels. With forecasted prices set to moderate later in the decade, aided by new supply, we expect '26 to represent the beginning of a pivot to more normalized spot LNG prices in the region. Even at the lower end of this price outlook, we expect U.S. LNG exports to continue unabated and do not expect any meaningful curtailments of U.S. LNG volumes. Ultimately, we view LNG supply additions as a moderating force on the global LNG market, and we expect this increased supply to invigorate demand as LNG becomes increasingly available and affordable, especially in price-sensitive and developing economies. In developed markets, this period of increased supply would represent a welcome change for consumers following the current multiyear period of elevated prices following the energy crisis in Europe. In the context of this period of shifting market dynamics and increased LNG supply, our highly contracted business model insulates us from near to midterm market volatility while providing our customers destination flexible volumes that enable them to navigate an evolving global LNG market as well as their own demand and consumption needs. At Cheniere, we'll continue to maintain our disciplined approach to sanctioning new liquefaction capacity under long-term contracts and with high visibility into future cash flows as we enter this new period in the global LNG market. With that, I'll turn the call over to Zach to review our financial results and guidance.
Zach Davis: Thanks, Anatol, and good morning, everyone. I'm pleased to be here today to review our third quarter 2025 results and key financial accomplishments, our financial guidance ranges for 2025 and our preliminary outlook for 2026 LNG volumes. Turn to Slide 12. For the third quarter of 2025, we generated net income of approximately $1.05 billion, consolidated adjusted EBITDA of approximately $1.6 billion and distributable cash flow of approximately $1.6 billion. Compared to the third quarter of 2024, our 2025 results reflect higher total volumes of LNG produced across our platform, primarily as a result of the substantial completion of mid-scale trains 1 and 2 at CCL Stage 3 and higher total margins as a result of increased cargoes that CMI was able to sell in the spot market opportunistically earlier this year. As Jack mentioned, we navigated some operational volatility this quarter, primarily related to feed gas composition variability across both facilities. However, these impacts were partially offset by the ongoing acceleration in the commissioning and start-up of the CCL Stage 3 project. Looking forward, we expect to continue deploying solutions to build resiliency against production variability and bolster our operation reliability year-over-year as well as bringing the remainder of the Stage 3 trains online safely and ahead of schedule. We have generated approximately $4.9 billion of consolidated adjusted EBITDA and approximately $3.8 billion of distributable cash flow in the first 9 months of 2025 supporting our confidence in our guidance ranges, for the full year, which I'll address on the next slide. During the third quarter, we recognized in income 584 TBtu of physical LNG which included 581 TBtu from our projects and 3 TBtu sourced from third parties. Approximately 93% of our LNG volumes recognized were sold in relation to term SPA or IPM agreements. During the quarter, we also produced and sold approximately 7 TBtu of LNG attributable to the commissioning of trains 2 and 3 of the Stage 3 project. The net margin of which an adherence to GAAP is not recognized in income nor our EBITDA or DCF, but rather as an offset to our overall CapEx spend on the project. Our strong financial results year-to-date enabled our team to deploy another approximately $1.8 billion under our comprehensive all-of-the-above capital allocation plan. We've now deployed approximately $18 billion of our initial target of $20 billion through 2026 as we continue to invest in our accretive brownfield growth, reduce our share count and enhance our shareholder returns while retaining the financial strength and flexibility to self-fund future accretive growth across our platform with a solidly investment-grade balance sheet. We are now on track to surpass the $20 billion deployment target comfortably before the end of 2026. We've already made a dent on our $25 billion target through 2030 with over $3 billion now deployed into our capital allocation pillars in just the last 2 quarters. During the third quarter, we repurchased 4.4 million shares for approximately $1 billion. Bringing our shares outstanding to approximately $217 million as of quarter end. And as you can see from the 10-Q cover, our plan has continued to be active and opportunistic early in the fourth quarter amidst continued volatility bringing our share count down into the 215 million range. Our buyback activity in the third quarter and beyond highlights the power of the plan and its ability to be opportunistic during periods of share price volatility especially following the incorporation of mid-scale 8 to 9 and our increased run rate forecast into the valuation framework that governs our repurchases. Thanks to our liquidity and balance sheet position, contracted cash flow visibility and our uncompromising discipline to grow if and only if an investment meets our standards, our buyback consistently stands at the ready to demonstrate our conviction in the long-term value of this company especially through any volatility or dislocations. We have now deployed approximately $1.7 billion on the buyback this year through Q3, leaving approximately $2.2 billion on our current authorization. Meaning, we are on track to seek our fourth share repurchase authorization from the Board in the next year. We continue to make methodical yet opportunistic progress towards our initial target of 200 million shares outstanding and allow our shareholders to continue growing their ownership of Sabine and Corpus over time. For the third quarter, we declared a dividend of $0.555 per common share or $2.22 annualized which is an increase of over 10% from the prior quarter. With this increase, we have grown our quarterly dividend by almost 70% since initiation approximately four years ago at $1.32 annualized. We remain committed to our guidance of growing our dividend by approximately 10% annually through the end of this decade, targeting a payout ratio of approximately 20% over time, enabling the financial flexibility essential to our long-term capital allocation plan and our disciplined approach to self-funded and accretive growth. Moving to the balance sheet. During the third quarter, we repaid approximately $52 million of the outstanding principal of the SPL 2037 notes based on the fixed amortization schedule, representing the first amortization payment on these notes. In July, we repaid $1 billion of senior secured notes due 2026 at SPL with the net proceeds from the issuance of $1 billion of unsecured notes due 2035 at CQP along with cash on hand. We expect to repay the remaining $500 million of principal on the 2026 notes with cash on hand over the next few quarters, reducing our interest expense while further desubordinating our balance sheet and strengthening our investment-grade ratings. This all positions the CQP complex to efficiently finance the first phase of the SPL expansion project and maintain its robust distribution policy through construction. During the third quarter, we funded over $300 million of CapEx on Stage 3, bringing total spend to approximately $5.5 billion unlevered. We also deployed approximately $200 million in the third quarter towards the mid-scale trains 8 and 9 and debottlenecking project. We maintained substantial liquidity with approximately $1.4 billion in consolidated cash and billions of dollars of undrawn revolver and term loan liquidity throughout the Cheniere complex. We are well positioned to fund our disciplined growth objectives while retaining the significant financial flexibility fundamental to our capital allocation framework. Turning now to Slide 13, where I will discuss our 2025 guidance and initial volume forecast for 2026. Today, we are reconfirming our 2025 guidance ranges of $6.6 billion to $7 billion of consolidated adjusted EBITDA and $3.25 to $3.35 per common unit of distributions from CQP. We are raising our full year 2025 DCF guidance range from $4.4 billion to $4.8 billion to $4.8 billion to $5.2 billion. The $400 million increase to our DCF guidance range is primarily attributable to an improved cash tax outlook in 2025 due to the IRS revising rules in September related to the corporate alternative minimum tax. The rule change entitles us to a refund of previously paid KMT. This is in addition to $200 million DCF benefit in 2025 guided to on the August call, from the previous implementation of 100% bonus depreciation going forward starting this year. As always, precisely where we land within the full year guidance ranges will be influenced by the timing of certain cargoes around year-end the ramp-up of Train 3 and the timing of Train 4 of Stage 3 as well as contributions from optimization activities during the balance of the year. With the lessons learned from the substantial completion of Trains 1 through 3 and progress Jack highlighted in navigating production variables, we are confident we can deliver financial results within our reconfirmed EBITDA and upwardly revised DCF ranges. Looking ahead to 2026, we have completed the initial production forecast for both Sabine Pass and Corpus Christi, and we expect to produce approximately 51 million to 53 million tonnes of LNG in total across our two sites next year, up approximately 5 million tonnes year-over-year, inclusive of forecast Stage 3 volumes from Trains 4 through 7 and planned maintenance across both sites next year. While we expect the substantial completion of Trains 5 through 7 to occur across 2026, variability in this forecast is driven by the specific commissioning, ramp up and substantial completion timing as well as some general allowance for production variability year-to-year. Planned maintenance downtime to continue to bolster our resiliency long term across our platform in 2026 is a smaller scale compared to the major turnaround we executed this year, supporting 2026 to be a record production year again for us. And as always, year-end timing can drive some degree of variability in our full year results. Of the 51 million to 53 million tonnes of production, we forecast approximately 50 million to 52 million tonnes of volume after commissioning and in-transit timing year-to-year supporting 2026 EBITDA. After accounting for approximately 47 million tonnes of long-term contracts in place, up from approximately 43 million tonnes in 2025 we expect to have approximately 3 million to 5 million tonnes of spot volume available for CMI to sell into the market or 150 to 250 TBtu. Our team has been opportunistically selling and are hedging these open volumes, and we currently forecast approximately 1.5 million to 3.5 million tonnes or approximately 75 to 175 TBtu of unsold open capacity in 2026. We will continue to work this down opportunistically in coming quarters especially as we have greater clarity on completion and ramp-up timing of the remaining stage 3 trains. Therefore, we currently forecast that $1 change in market margins would impact EBITDA by approximately $0.1 billion to $0.2 billion for the full year, highlighting the cash flow visibility of the contracted platform. Consistent with previous years, we intend to provide 2026 financial guidance on our February call. We are proud of the team's efforts in enabling the achievement of substantial completion of Trains 1 to 3, and advancing Train 4 schedule since our last earnings call. With the expected substantial completion of Trains 5 to 7 in 2026 and several million tonnes of additional contracts starting in 2026 our platform will continue to be comfortably over 90% contracted with investment-grade counterparties, generating long-term take-or-pay style cash flows, which provides us significant insulation from volatility in a rapidly evolving global LNG market. Our achievements thus far in 2025 reinforce our conviction in Cheniere as the premier contracted infrastructure platform with decades of cash flow visibility. We will continue to remain disciplined and focused on enhancing the long-term value proposition we offer to both our shareholders and customers alike for the decades to come. That concludes our prepared remarks. Thank you for your time and your interest in Cheniere. Operator, we are ready to open the line for questions.
Operator: [Operator Instructions] We'll take our first question from Jeremy Tonet with JPMorgan.
Jeremy Tonet: Just want to start off, I guess, Zach, here with the buybacks, quite the pace this past quarter here and granted it's opportunistic in nature, but just wanted to see any thoughts you might be able to share with regards to the pace of the trajectory going forward, given what you've been able to accomplish so far?
Zach Davis: Sure. Thanks, Jeremy. Yes, it was our second $1 billion quarter that we've had since we've initiated buybacks a few years back. And I think there's three dynamics to it. It's first liquidity and as you could see in just the cash balances, we started this year with over $3 billion and the fact that all of our revolvers are open, and we still have the Corpus term loan for CapEx of over $3 billion. We had more than enough liquidity. Then it gets into valuation. And honestly, if you look at these valuations, forget about where it is today even where it was in Q3. We're basically buying back the stock at an EV to EBITDA that's significantly lower than the CapEx to EBITDA of every other FID project that's occurred this year. And then on top of that is just performance. So as you can tell, the buyback is there, alive and ready to support the stock and our conviction of the long-term value of this company and those decades of contracted cash flows. So going forward, expect more of the same. This buyback program of $4 billion was supposed to go through '27. Basically, we're on target to need to go back to the Board and ask for an upsize next year. So expect that, and we'll keep on trucking along, especially if we are valued at levels that we think are clearly below where the -- just the -- without any more growth, we can value the company and earn a really good return for our shareholders.
Jeremy Tonet: Got it. That's helpful. And Anatol, pivoting to the LNG market and picking up some of the commentary you put out there with regards to inflection point. I was just wondering if you might be able to comment a bit more on lower prices incentivizing demand, what type of demand within Asia, could you see there? How deep are those pockets? And the pricing range provided on Slide 10 on the right is a pretty wide range. Any thoughts, I guess, on how things could shape up versus the active forward curve versus some of the consultants?
Anatol Feygin: Yes. Thanks, Jeremy. Look, we have gone through a multiyear period now with one of the largest disruptions to global gas supply and we've added order of magnitude 30 million tonnes to the LNG market, and now we're going to embark on more than half a decade of adding that much volume on an annual basis. So '26, we do think is a transition year, weather dependent. And obviously, it depends a lot on how some of those early price signals and demand elasticity play out. But the drivers for that gas demand, which we are very constructive on over the medium to longer term, right, we do think that not only does the LNG market get to that 700 million-tonne level by 2040, but also the gas market overall will have a robust growth period but it will be choppy. It will be things like power generation in China. You have over 150 gigawatts installed now. You have no issues with regas capacity that's -- that now has, I believe, 32 facilities up and running and will be 250 million tonnes of import capacity, just what's operating under construction. That generation fleet is grossly underutilized, and that could be a very substantial driver in and of itself. And as we've already said, the aggregate installed capacity is going to grow to 800 gigawatts in that theater. So that is a driver, but you'll also see industrial demand. You'll also see residential commercial demand. But the pace at which it absorbs this incremental supply will at times not match the supply timing. So that's the reason why we expect this volatility. And as Jack says, we'll continue to cheat and continue to contract the 95% plus of our capacity and let our investment-grade counterparties manage vast majority of that volatility.
Operator: We'll take our next question from Theresa Chen with Barclays.
Theresa Chen: With the EU moving forward to ban imports of Russian natural gas by Jan 1, 2026, do you think we could see upside to your marketing activities next year with 75 to 175 TBtu of unsold volumes as block leans further into U.S. LNG during the winter ahead?
Jack Fusco: Yes. Thank you, Theresa. This is Jack. As you know, we have tried to be very constructive and supportive of the EU and their energy needs. We've delivered over 60%. I think it's close to 66% of all of our cargoes over the last three years have went to Europe. I would expect that there's going to be other opportunities for us in Europe just based on our relationship with our counterparties there, 24 million tonnes of our contracts are with EU counterparties. And our relationship there is very, very strong. But Anatol, do you have anything to add?
Anatol Feygin: Yes. Thanks. Well, Theresa, just not to be too precise, but six months for the short-term contracts, so that's April of next year, long term as of January of '27, which is one of the reasons why we think this winter, again, is a bit of a transition period. As Jack said, we stand at the ready to support our customers, obviously, have destination flexible volumes. As you point out, Russian LNG has supplied about 11 million tonnes year-to-date into the EU. So that volume will be most likely impeded. We don't think it disappears. We think it is a little bit less sort of utilization of the Arctic facilities, but ultimately, unfortunately, they will likely find a market, as you all know. So it is a little bit of the question mark over this coming winter. But again, it's order of magnitude 10 million, 11 million tonnes against the backdrop of 30 million and 40 million-tonne growth years.
Theresa Chen: Got it. And with the previous comments from Anatol about medium- to long-term demand elasticity in mind and tying it into your views on project commercialization given the onslaught of competing liquefaction project FIDs we've seen so far this year. How is Cheniere thinking about your own incremental capacity expansion from here beyond what has already been sanctioned?
Jack Fusco: Yes, Theresa, thank you. And we're going to stick with our Cheniere standards. So we're going to make sure that if we're going to invest additional capital into growth that it meets all of our financial hurdles. Those hurdles are very robust. I'll let Zach go through at least the 5 or 10 of them that he wants to, but we make sure that we are fully contracted that it meets our hurdle rates and that we're providing our energy to investment-grade counterparties over the long term. But Zach, do you have anything to add?
Zach Davis: Sure. I'll just say we're going to stay to our lane and stick to brownfield LNG development and construction and operations and remain as disciplined as possible in a pretty undisciplined environment right now. So the plan, as we've said many times, is we're going to permit the heck out of the site. We're permitting 20-plus million tonnes at both Sabine and Corpus as we speak. That doesn't mean that's the intention of what will FID in the near term. What we have line of sight to FID in the near term is, first, Sabine, a first phase expansion that would be a train and some incremental debottlenecking equipment. And that project alone would need an incremental birth, tank or pipeline, and that should be as economic as possible. And with that said, we have a good amount of contracts already on the books signed with CMI that could be assigned to either project that basically cover us off for contracting for a first phase project at Sabine. And then instead for the fourth large-scale train at Corpus that's slightly behind in terms of the permitting schedule as we just FID-ed mid-scale 8 and 9. So we'll stick to the standard basically unlevered 10% returns. And not at these $5 margins that we see on the curve today and into next year but comfortably under $3. We're going to stick to the 6x to 7x CapEx to EBITDA at the same type of margin level. We're going to be 90% contracted to really lock that in and then be in a position where we can fund it 50-50 and be credit accretive. That's how we've done every project to date and have no intention of slowing that down.
Operator: We'll move to our next question from John Mackay with Goldman Sachs.
John Mackay: I wanted to start on some of the comments on the feed gas this quarter. Jack, I appreciate your walk-through on everything the team has done to kind of fix that. I guess if you can just talk us through what that looks like going forward. Are there investments you guys can make at the plans or investments upstream? Is it something more just process and it takes some time? Maybe just walk us through that one more time, if you don't mind.
Jack Fusco: Yes, John. Thank you. So first off, there's a lot of variability, right? Our biggest variability has always been weather. So we first had fog and a lot of fog at Sabine Pass. We built the third birth and we managed fog. Then it was hot and humid. And we've upgraded fans, and we've added windshield. So the team constantly surprises me and is able to make small capital investments to get through some of these variabilities. This -- lately, it's been the variability in the feed gas composition mostly from the Permian. So as some of the larger pipes have come across and have tied in Permian gas into Louisiana for lack of a better word, we've seen an increase in nitrogen and yes, there are things we can do to help minimize the nitrogen. But nitrogen is an inert gas, and it takes up space. And there's different ways to combat that. So at Sabine, we've seen the increase in nitrogen. We've changed processes to run it in what we call wet mode, which chills it and pushes it through our system a little more forgiving is what I'll say. And then secondly, minute quantities of substances in the gas stream when you're focusing billions and billions of cubic feet to one specific area. So 5 billion cubic feet a day to Sabine Pass or 3 billion cubic feet over to Corpus Christi minute quantities end up being very, very big. So we've seen some heavies. Those are C12 that -- or C12 pluses that are starting to freeze in our system before the liquefaction of the LNG. And that's where we've started to use different solvents to clean the heat exchangers, we've been defrosting a little bit more. But the team continues to figure out ways around it. And we have a long-term plan that we're going to implement next year to help us be much more resilient to small shifts in composition within the gas stream.
Zach Davis: And I'll just add that as we gave preliminary and it's definitely preliminary production guidance for next year, we baked a lot of that in, in terms of -- there's some planned maintenance incrementally, in particular, at Corpus in the next year at least, that once we get through some of that, we could be in a position to potentially do better than, let's say, 1.5 million tonnes per train. But that's not something we're baking in, in October a year ahead before we've done much of that work. So some of those things are baked into the -- this initial forecast and clearly, we'll give financial guidance to the Street on the February call and have a better picture of where production is coming out.
John Mackay: That's clear. I appreciate that color. Just a quick one for me, Zach, following up on your comments a couple of minutes ago. Can you just remind us, at this point, kind of gating items for Sabine Train 7 specifically? And I understand there's a few more moving pieces, but like loosely speaking, what's your bogey for potential FID timing?
Zach Davis: Sure. So we're deep in that FERC process and don't expect to receive that permit until later next year. And then and only then would we even be in a position to break ground and start officially reach FID. With that said, we could definitely start LNTPs to an extent with Bechtel next year to start locking in certain costs, if it all meets the hurdles again. So we're still working that through with Bechtel and development and ensuring that we can get to that, let's say, 7x CapEx to EBITDA or better level. And as we get closer to that, we're going to lock in some long lead items, spend some money down there, and you'll see still a tempered CQP distribution out as we retain some of that variable distribution to make sure the balance sheet is good to go for that project as well as to fund some of this CapEx before we even FID.
Operator: We'll take our next question from Spiro Dounis with Citi.
Spiro Dounis: I wanted to start, Jack, maybe with some of your opening comments just around the trade outlook and some of the uncertainty there. I would love just to get your updated thoughts around trade relations, maybe how that's impacted your SPA and commercialization efforts. We know the President in Asia this week. So just curious if you're optimistic that maybe we could see some more announcements come through on the LNG side.
Jack Fusco: Spiro, thank you. And I am, I mean, it is nice to have a presence that's so enthusiastic about our product and what our product can do for the world. So at times, we need to manage that a little bit, but it's good to have somebody that's out there out in the forefront. I do expect to see more opportunities for us in Asia. Asia, as you know, is where we see a majority of the growth happening this next decade or two. And I see some opportunities there, which is why I have a trip to Asia. So -- but thank you, Spiro.
Spiro Dounis: Yes. I appreciate the color there, Jack. Second one, maybe for you, Zach, on 2026 volumes. So first blush, they did look a little conservative to us, but it sounds like you're baking in some of that feed gas issue. So that could be it but also just wanted to get your sense for what you've assumed around the cadence for Trains 5 through 7, reaching substantial completion next year. Just especially you seem to have cut that time in half between first LNG and substantial completion. And there, I say, is there even a chance that we could see Train 8 sneak into 2026?
Zach Davis: Do not put Train 8 into 2026 -- that out there. We're only, I think, 20-something percent complete with none of the construction as of this call. So the team is pretty incredible, but I'd rather than do it safely and get it right. So we are optimistic on Trains 5 through 7 to come online next year. And again, as we talk about the guidance range, we assumed a Train 5 in the spring, a Train 6 in the summer and a Train 7 in the fall we'll be more precise as we get closer to those dates, as we're right now very focused on the fact that Train 4 is getting closer to first LNG, and we'll see if that's end of year this year, substantial completion or early next. So again, we're optimistic if there's any acceleration on those trains that could help the production forecast as well. In addition to that, as you'll start to see even from Train 1 to Train 2 to Train 3 the time between first LNG and substantial completion keeps on shortening. That would also produce more P&L volumes supporting EBITDA next year as we continue to take advantage of the lessons learned, train to train to train. So more to come with that in February, but we'll leave it on the seasonal pattern for now for the next 4 trains to come online.
Operator: We'll take our next question from Brandon Bingham with Scotiabank.
Brandon Bingham: Would just love to hear your thoughts as it's become more commonplace over the past couple of years to have market participants enter the LNG space from non-LNG arenas. Could you just discuss some of the impacts or even just the dynamics in contracting from having these non-LNG operators enter the market?
Anatol Feygin: Well, I'll take a stab at it, I guess, this is Anatol. So this market a decade ago when we started, if you wanted to buy a U.S. Gulf cargo, you could only call one counterparty, and that was Cheniere. Now as this market surpasses 100 million tonnes on its way to 250 million tonnes you have a very, very different landscape, of course, and we've spoken about the kind of lack of discipline from our perspective, it seems like projects are getting over the FID finish line with a very broad array of counterparties and at times actually no counterparties at all. So it will be a very interesting and challenging dynamic as we go through the period of late this decade and first half of next. And again, that's why we are going to be sticking to that 95% plus contracted portfolio into the hands of credible experienced counterparties as well as our own. So expect things to be very challenging for a number of participants. And as we sometimes call them LNG tourists being among them.
Brandon Bingham: That's very helpful. And then maybe just a quick follow-up to one of Spiro's questions here on the 2026 outlook. Maybe asking it in a different way. Is that range that you gave on total volumes? Does that include like is the high end potentially baking in an acceleration of Trains 5 through 7 or would an acceleration of Trains 5 through 7 similar to like a Train 4 time line sort of a setup, push you above the range?
Zach Davis: Time will tell, but put it this way. Just on Trains 4 through 7 coming online, if they were each one month early or one month late, that's like 0.5 million tonnes alone. So that alone is a 1 million-tonne swing. And then if you just think about year-to-year operational reliability, variability, ambient temperatures, that's easy, 1 million tonnes at this point because just to remind folks, we're now in over 50 million-tonne operating company. So yes, there's a little bit in there. But if there's even more acceleration than that, or it's a bit colder or the operational liability is higher year-over-year, we could be at the high end or something else. So we'll see. But that's not really our style. We'll stick to 51 to 53 for now.
Operator: We'll take our next question from Jean Ann Salisbury, with Bank of America.
Jean Ann Salisbury: Well, the debottlenecking for CCL3 occur kind of gradually from now until 2028 or would you expect most of it to occur concurrently when Trains 8 and 9 start up?
Jack Fusco: Jean, this is Jack. The debottlenecking started the day we took commercial operations of Train 1 and has been ongoing. And the team has done a great job with maximizing the production of those first 3 soon to be 4 trains very, very quickly, and I would expect us to continue to refine that as we go.
Zach Davis: I would say that to get to the high, high end, we acknowledge that even Trains 8 and 9 at mid-scale would have some debottlenecking equipments. So that will come over time. But based on how things are working and some of the work that we continue to do, as Jack mentioned, yes, we're hopeful we can start doing better than 1.5 in the near future.
Jean Ann Salisbury: Great. And then as has been referenced a lot on this call, there's been so much contracting year-to-date, so many projects going forward. So I guess my question for Anatol is in terms of global project FIDs, do you think we're near the end of this wave or in the middle?
Anatol Feygin: Yes, a lot of FID, not as much contracting, I would say. But yes, so the world overall has had a very robust year. You remember the discussions of 4, 5 years ago is long-term contracting going away, and our view was always that it's not, but it is cyclical. So this year, I believe, over 80% of the contracts executed have been 20 years or longer, and there's still some more to be done globally but with the world at 70 million tonnes U.S. is about 61 million tonnes year-to-date, I think this period is in its denouement, shall we say.
Operator: We'll Take our last question from Manav Gupta with UBS.
Manav Gupta: We actually went through your revised Sabine Pass filings in June. And just like if you look at the earlier February filing of 2024, you seem to have found a number of extra MTPAs in a very short period of time. And I'm just trying to understand how are your engineering teams able to accomplish this so quickly? And if you could help us understand how this additional capacity was realized or could be realized as you bring this project on?
Zach Davis: Sure. I think credit to our engineers and our operating folks that are always finding ways to debottleneck the facilities and get more out of them. I believe what you're speaking to is the FERC filing for the Sabine expansion. And clearly, as I mentioned before, as we intend to permit as much as possible at the 2 sites we're going to explore with Bechtel every which way to get the most out of Sabine Pass to ideally get that cost per tonne as low as possible by obviously working on the cost side, but specifically on the MTPA side as well. So I think there's just more ingenuity and pushing for the art of the possible right now for the permitting process, and then we'll see what we actually FID as none of that matters if it doesn't meet the standard.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over for closing remarks.
Jack Fusco: This is Jack. I just want to say thank you for all of your support and for your questions and always keeping us on our toes.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect, and have a great day.